Operator: Good morning, ladies and gentlemen, and welcome to the Third Quarter 2021 Results Conference Call.  I would now like to turn the meeting over to Chantal Melanson. Please go ahead, Ms. Melanson.
Chantal Melanson: Thank you, and good morning, everyone. As mentioned, we would like to welcome you to Major Drilling's conference call for the third quarter of fiscal 2021. On our call, we will have Denis Larocque, President and CEO; and Ian Ross, our Chief Financial Officer. Our results were released yesterday evening and can be found on our website at www.majordrilling.com. We also invite you to visit our website for further information. Before we get started, we'd like to caution you, during this conference call, we will be making forward-looking statements about future events or the future financial performance of the company. These statements are forward-looking in nature and actual events or results may differ materially from those currently anticipated in such statements. 
Denis Larocque: Thank you, Chantal. Good morning, everyone, and thank you for joining us today. We are pleased by the level of activity generated this quarter, both before and after holiday period. Third quarter is always impacted by a seasonal shutdown over Christmas at certain projects, but November was a particularly good month and continued the progression we experienced in the previous quarter. December saw the usual anticipated reduction in operations over the holidays, while in Canada, January got off to a quicker start than previous years. These factors contributed to a revenue increase of 23% for the quarter, and it does provide a strong indication that we are moving into a mining upcycle.  Margins, as is usual for this quarter, were impacted by substantial annual maintenance and overhaul work over the holiday period. Additionally, the company incurred significant training, mobilization and setup costs to meet the pickup of activity and increased demand we are seeing for our services as we move into the fourth quarter and beyond. This performance generated EBITDA of $8.7 million, an increase of 226% over last year, which turned into an increase of $6.6 million of net cash, bringing our net cash position to $14.2 million. I want to commend our employees throughout the organization who have been able to work through strict protocol and logistical challenges and deliver this kind of growth while remaining safe and healthy. I’d also like to highlight our Canadian division's safety performance, which has now operated over 7.5 million hours over 6.5 years without a lost time injury. The safety and well-being of our crews is our first and highest responsibility, when we work on any project. And we work hard to earn the trust and support of our crews, and we are pleased to see their success. With that, Ian will walk us through the financials, and then I'd like to discuss our market outlook further before opening up the call. Ian?
Ian Ross: Thanks, Denis. Revenue for the quarter was $100.4 million, up 23% from revenue of $81.7 million recorded in the same quarter last year, as drill programs continued later into December and started out early in January in our biggest rigs. The unfavorable foreign exchange translation impact on revenue for the quarter when comparing to the effective rates for the same period last year, was approximately $2.5 million, with a minimal impact on net earnings. Despite the continued challenges of COVID-19 in certain jurisdictions, we're pleased to report our highest third quarter revenue in over 8 years as we are seeing increased demand driven by senior gold projects and juniors deploying the capital raise last year. 
Denis Larocque: Thanks, Ian. It seems like we're having sound problems. We're just trying to fix it at this point. We'll keep going and if -- we -- just give me a second, we're working through it. Okay. We will -- just hang in there. We'll come back in on a different line. It should only take a few seconds. Thank you. 
Operator: Please go ahead. 
Denis Larocque : Thank you. So we're back with a -- what, I think is a better line now. So sorry about that. So we'll keep going. I'm -- kind of take you through the outlook, and then we can move to questions. So at the start of the calendar year, we saw an increase in gold exploration spend from both seniors and juniors, particularly in Canada, which was the main driver of the initial pickup of activity. Copper prices have been -- have seen a recent surge, which should also translate into more exploration activity in the near future as mining companies focus capital allocation into replenishing their depleting reserves. In the last few weeks, we've seen the world wake up to the reality of a rapidly diminishing future copper supply. At the same time, we're seeing governments unleashing significant stimulus programs, targeting investment in renewable energy and electric vehicle infrastructure, all of which will require huge amounts of copper. This increase in industry activity has once again raised questions around the availability of skilled labor, particularly in North America. To mitigate concerns over crew staffing, we've stepped up our efforts around the world and have reinstated many of the initiatives that proved successful in the last industry upturn. Additional trainees are being assigned to rigs, and retention programs are being reinstated. In North America, we have increased our efforts across our training centers with goals to improve our retention rate for new hires and to qualify candidates for a driller training programs. Wage increases will be applied in certain regions to retain and attract the most experienced drillers and to ensure our high-quality customer services maintained as competition heats up. As we look ahead to our fourth quarter and fiscal 2022, we continue to see a noticeable increase in inquiries from all categories of customers. And if their plans progress as advertised, we expect to see utilization rates continue to gradually improve as crews become available. Although the shortage of experienced drill crews will put temporary pressure on labor costs and productivity, especially in our most active markets, we expect the wider industry shortages to continue to drive pricing improvements, which should gradually translate into margin recovery. 
Operator: . The first question is from Daryl Young from TD Securities.
Daryl Young: So a first quick question on the M&A environment. Throughout the cycle, the down cycle, I think you have mostly said that M&A was off the table. As we move into this upcycle and see the labor shortage, is there any change in the thinking on M&A? And what kind of opportunities might be out there?
Denis Larocque: Yes. The -- we've never said it was off the table. It's just the -- we've always been very focused on our strategy of specialized drilling. And what we've said is that there was a lot of companies with just excess rigs and no employees or no crews that would come with it. If we look at businesses, we're always interested in different geographies or in specialized drilling. Those are kind of the 2 main places we'd be interested in, in making acquisitions as it would fit in our fold. So yes, we're always -- we've always been looking. We talk to a lot of companies that sometimes we get phone calls. Sometimes these are short conversations. And like I say, we're just -- we're always looking to grow. And if it makes sense, we'll certainly look at it. We'll certainly look at it.
Daryl Young: Okay. Great. And then obviously, some very good results in Canada this quarter. And it sounds like there was still some COVID-related issues in South America and parts of Africa. Is there a way to kind of quantify or think about how much upside would have been there, if those markets were operating normally? And I guess what I'm trying to sort of vet out is how much clearly, demand is very strong, but just sort of how much upside is pent-up in those markets?
Denis Larocque: Yes. It's really hard to give you that because how much is related to COVID and how much is related to for example, Latin America being slower to pick up in an upcycle. In the -- if we look at history in the last upcycle, Canada took off first and then Latin America followed after. So there's a bit of that at play as well. So it's not all COVID, but certainly, COVID is playing a factor in a sense that if mining companies were thinking of investing all it's doing, it's delaying their investments. But I think that if history repeats itself, we should see those regions picking up in the near future because at these commodity prices, it makes sense to go look for -- there is a premium in there. When you look at copper being above $4, even copper being above -- we kept saying copper being above $3.25 would be -- there's still lots of money being made. So it still makes sense to look at it. So at $4, you got to believe that it's starting to make a lot of sense, and those reserves need to be replaced. And the same thing for gold. We used to talk about 1,350 as being -- once things are over 1,350, then there's lots of projects that make sense, and we're well above those thresholds. So I think the Latin American and like outside of North America, I think it's just a question of time really.
Daryl Young: Okay. Perfect. And then just one final one. On the copper side and, I guess, other sort of battery-related metals, what kind of percentage of the mix do you think that, that could become over time? Because obviously, gold has historically been the most demanding in terms of the requirement for meters drilled, just given the nature of geology. But what kind of, I guess, upside or mix do you see there on the copper and battery metals? 
Denis Larocque: Yes, when things were firing on all cylinders, gold wasn't even making it to 50%. We were like in the 45% to 50% of our revenue was gold. This quarter, we're at 62%, and that's -- that's pretty much the highest we've ever seen. And I think it's just because gold is taking off first. And copper is at 17%. And again, that would be a low for us on our revenue. So in -- when things get going on copper, I wouldn't be surprised that we would see a 50% gold, 25% copper. And then the other 25%, we always say it's the flavor today. If we go back 10 years ago, uranium was a big part of that, and we had coal. That was a big part of that. And then iron ore. These days in that going forward, you're going to have lithium and platinum and cobalt that are going to be part of that 25% and nickel as well. And nickel is our -- we’ve already seen some pickup in nickel activity.
Operator: The next question is from .
Unidentified Analyst: Yes, I wanted to ask one thing on the rebound now clearly, we see all these raw material price moves on the commodity side and all of that. I was wondering, overall, like what else gives you sort of comfort that this is sort of the real-time because we have seen a couple of fall starts that the cycle is turning in a more -- turning around a multiyear level. I mean you look at the capital raisings at the minors, is it your conversations with the majors and their order books or -- you're getting from them? Or sort of what gives you the real confidence that it’s here to last now for 2, 3 years?
Denis Larocque: Yes. The -- really, we're driven by the supply side. And there is a need for mining companies to look for it. Gold is down. The reserves are down 35% from 2012. And then the copper are facing big supply issues upcoming, and it takes 10 to 15 years to bring a mine into production. So commodity prices are starting to reflect that. And mining companies on the senior and intermediate side are all -- have all become vocal about the need to explore more. So that gives us comfort that they're moving with plans and that they're serious about these plans. Despite over the last week, we've seen a bit of a dip in the gold price. And -- but -- the -- again, to my point earlier, 1,350 is still very healthy, very good monies to be made. And gold is still well above that. And gold companies are still talking about having to do a lot of drilling, a lot of exploration to replenish their reserves. And on the junior side, there's been a lot of money raised over the last 6 months. And that money has to be spent. So even if everything came to a halt on the financing, there's money in the system that needs to be deployed. Some of that money was even raised on flow through. That means that it needs to get spent on exploration, no matter what. So we feel pretty good about the year that's coming up.
Operator: . We have a next question from Maggie MacDougall from Stifel.
Maggie MacDougall: I noticed in your commentary on some comments on just labor and labor shortage and how that may or may not be impacting your business. I'd be very curious to hear as you look forward the next few quarters at potentially increasing utilization. So perhaps just some color on how you guys are dealing with that, whether or not customers are accepting price increases where it needs to happen in order to get people fast on cruise. And any other things you're doing to sort of help with that dynamic?
Denis Larocque: Yes. Well, it is -- and it's not across the board. Here, we're seeing that in North America. In other regions, we're doing fine. But in North America, the industry, not just us, it's the whole industry is -- we're already facing issues or challenges to have experienced drillers. So we're -- we've ramped up our training. As I mentioned, we've increased our efforts at our training centers and to increase the number of trainees. And also, in times like these, what we do is sometimes we might have 1 or 2 helpers on the job, while we basically moved to 2 to 3 helpers on the job to increase our ability to train drillers because typically, that's -- to become a driller, you start as a helper. And so all these things we're doing. And on the pricing side, yes, we are having conversations. And most customers are recognizing, especially customers that have been through these cycles. They know how this plays out when things get tight on drillers. You need to lock drills and you want to lock your crews because if you don't, you might be -- it's like musical chair, you might be that the 1 standing up looking for a chair at the end. So there is -- we're already getting phone calls from certain customers that are worried about locking rigs. And so pricing has been moving up to soak up the extra cost, but also we should see margins gradually improve to -- because over the last 6 years, the pricing, we're still at the beginning, we're still a long way from where we were in 2012. So pricing, we're still at low prices for this industry.
Maggie MacDougall: Right. Have you seen cost inflation in any other major inputs aside from labor?
Denis Larocque: We're starting to see it. And we've heard of iron ore or iron prices being up quite a bit. So that could impact supplies, cost of supplies going forward. We haven't seen it yet, but you've got to believe that as the whole industry moves up, that we're also going to see a little bit of cost increase. But again, we've got -- in our contracts we've got escalation clauses to reflect that. And so, it shouldn't impact our margin that much going forward.
Maggie MacDougall: Okay. And then a final one for me. In terms of customer inquiries, which you noted remain robust. Is there any region worth noting where you're receiving more inquiries and/or any commodity where you're receiving more inquiries?
Denis Larocque: Yes. It's still -- Canada is the -- Canada is hot right now in terms of inquiries. And that's because there's been a lot of money raised. I mentioned flow through and the flow-through money that gets raised has to be spent in on exploration in Canada. So there's been quite a bit of money raised on that, and that money is getting deployed right now. But we're starting to see other regions -- inquiries that's picked up pretty much everywhere. And so that's why we're hopeful that it's going to turn into projects. Some of those we're waiting for budgets to be approved. And last week, over the last couple of weeks, mining companies have had their board meetings and approvals of budgets. And typically, budgets then gets -- it trickles down to the field level to the projects, and that's where approvals -- things get approved, and that's where those inquiries turn into contracts. So I think, like I mentioned, Canada is the one that is where we're seeing a lot of activity increase right now. But I think the others are just -- are going to come fairly soon.
Operator: Next question is from Ahmad Shaath from Beacon Securities.
Ahmad Shaath: Maybe one question for me. You touched on it a little bit. So what's your view on how should we look at potential for margin expansion, maybe directionally compared to previous cycles? It doesn't sound like it's going to be as significant as previous cycles, but we still should be looking for margin expansion, given the pricing environment and the cost inflation you mentioned.
Denis Larocque: Yes. This is playing out exactly like previous cycles, meaning that typically, the way it has worked is revenue takes off first. And then you've got upfront costs to get rigs in the field and training and to get crews as they get trained, they get more productive, and then that's where you start to see margin improve, plus the pricing. The pricing picks up steam as things go. So typically, what you see is you see revenue take offers and margins tend to follow, to follow after. And that's kind of what we expect to see in this upcycle if things progress like they did in previous upcycles.
Ahmad Shaath: Perfect. And I guess I was trying to get at a percentage point wise from the bottom of the cycle to the upcycle, the delta in margins, given the training cost that you have to go through right now, is it -- directionally is it magnitude wise the same as the previous cycles? Or is it a little bit lower just because of that? What do you think you can successfully do similar to what you've done in any previous cycle in terms of passing through those costs?
Denis Larocque: Well, as I mentioned, the -- there is cost upfront. So margins -- the margin expansion is going to be limited. Pricing is going up, but some of that pricing increase is going to be soaked up by the extra cost upfront. But -- which is the part I mentioned about margins, not necessarily margin expansion, not picking up immediately. Well, substantially, I mean. And then -- but it's just as you move deeper in the cycle and things continue to pick up, that's where you start to see those margins move.
Ahmad Shaath: Perfect. That's very helpful. And lastly, I think the line was cutting off. I missed the overall utilization number where we stand right now.
Denis Larocque: Yes. And Ian, maybe you should go through all the stats.
Ian Ross: Apologies for that. So we had 299 specialized drills at 39% utilization, 123 conventional drills at 38% utilization, 168 underground drills at 52% utilization for a total of 590 drills at 43% utilization.
Ahmad Shaath: 43%. Perfect. Thank you. Thank you so much, guys. And congrats again.
Operator: Thank you. There are no further questions registered at this time. I will return the call back to Denis Larocque.
Denis Larocque: Well, thank you. And apologies again for the communication here. We picked up where we left off. We hope we didn't lose any of you through this ordeal. And -- but we're looking forward to a busy 2021 and as we move deeper in this cycle and looking forward to see what copper is going to do this year. Thanks, everyone, and we'll talk next quarter.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.